Operator: Greetings and welcome to the Newpark Resources’ Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Feldott, Director of Investor Relations. Thank you. Please go ahead.
Brian Feldott: Thank you, operator, and good morning, everyone. We appreciate you joining us for the Newpark Resources conference call and webcast to review our second quarter 2016 results. With me today are Paul Howes, our President and Chief Executive Officer; Bruce Smith, President of our Fluids Systems business; and Gregg Piontek, our Chief Financial Officer. Following my remarks, Paul will provide a high level commentary on the second quarter, Bruce will provide an update on our Fluids business, and Gregg will discuss the Mats business as well as the consolidated financial results for the second quarter. Paul will then conclude with a discussion before opening the call for Q&A. Before I turn over the call, I have a few housekeeping items to cover. There will be a replay of today’s call and it will be available by webcast on our website at newpark.com. There will also be a recorded replay available by phone, which will be available until August 12, 2016, and that information is included in yesterday’s release. Please note that the information reported on this call speaks only as of today, July 29, 2016, and therefore you are advised that time-sensitive information may no longer be accurate as of the time of the replay. In addition, the comments made by management during this conference call may contain forward-looking statements within the meaning of the United States Federal Securities Laws. These forward-looking statements reflect the current views of Newpark’s management. However, various risks, uncertainties and contingencies could cause our actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listener is encouraged to read our Annual Report on Form 10-K, Quarterly Reports on Form 10-Q, and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies. And now with that said, I’d like to turn the call over to our President and CEO, Mr. Paul Howes.
Paul Howes: Thank you, Brian, and good morning to everyone. Consistent with our expectation discussed in April, the second quarter proved to be challenging for our industry in North America, with the U.S. rig count down 23% from last quarter, along with the impact of spring break-up in Canada. Yet, despite the continuing sharp decline in North American drilling activity, I’m pleased to report that consolidated revenues were up slightly on a sequential basis, benefiting from strong performance in our international Fluids business and the continued penetration of non-exploration markets in our Mats business. The performance in the second quarter is meaningful to us, as it serves to further validate our long-term strategy for both of our segments. In fluids, we’ve long been focused on diversifying our revenue streams and penetrating the IOC’s and NOC’s around the world. During the past 18 months, as the commodity cycle has decimated the North American market, we’re seeing the benefit from our unwavering focus on our long-term strategy. Our EMEA region is continuing to grow benefiting from our expansion in the Middle East. And despite the declines in global customer spending, IOC’s and NOC activity has remained more resilient, contributing approximately half of our global fluids revenue in the quarter, including the benefit from the record-setting ultra-deepwater well in Uruguay. In the Mat segment, with new leadership in place, we are accelerating our efforts to penetrate new markets to further offset the current weakness in North American exploration activity. In addition to the near-term benefits, these new market opportunities position us to grow beyond historical levels, when the exploration markets recover. At the same time, we continue to take prudent steps to protect our balance sheet. Cash on hand increased to $93 million in the quarter, bringing our net debt down to $78 million. During the quarter, we also transitioned to a new asset-based lending facility, which provides us with added liquidity through the cycle and also helps to address the convert maturity in October 2017. With that, let me now turn the call over to Bruce Smith, who will review the performance of our Fluids business. Bruce?
Bruce Smith: Thank you, Paul. Good morning, everyone. In the second quarter, the Fluids Systems segment generated total revenues of $96 million, reflecting a 3% decrease from the first quarter and a 31% decrease year-over-year. In the U.S., revenues were $31 million, down 18% sequentially, comparing favorably to the 23% decline in average rig count over this period. On a year-over-year basis, U.S. revenues were down 59%, compared with a 53% reduction in rig count, reflecting declines in customer spending intensity and pricing softness, partially offset by improvements in market share. Revenues in Canada followed the typical seasonal pattern for spring break-ups. Following the strong first quarter, revenues from Canada declined 83% to $2 million in the second quarter, compared to 72% decrease in rig count. On a year-over-year basis, revenues were down $5 million, as the Canadian market continues to run well below prior-year levels. As Paul highlighted, our EMEA region posted a strong second quarter with revenues of $44 million, up $6 million sequentially, reflecting a 16% increase. The second quarter improvement is primarily attributable to increased activity in Kuwait, along with the benefit of elevated product sales in other markets. On a year-over-year basis, revenues from the EMEA region were up 7%, despite the completion of deepwater Black Sea contract and the headwinds of currency translation. The revenue growth over last year was driven by market share gains in Algeria and Kuwait, as well as our entry into Republic of Congo. Our Latin America region posted revenues of $17 million in the second quarter, doubling first quarter revenues. The second quarter results included an $11 million revenue contribution from the ultra-deepwater project in Uruguay, which was successfully completed late in the quarter. The $10 million sequential increase from the Uruguay project was partially offset by a $2 million decline in Brazil, as Petrobras activity continues to soften. On a year-over-year basis, Latin America revenues were up $5 million, or 37%, primarily reflecting the contribution from Uruguay, offset by a $6 million decline in Brazil. Given the further deterioration in activity and outlook in Brazil, we are continuing to take measures to right-size our cost structure in this region. In the Asia-Pacific region, second quarter revenues were $2 million, flat with the first quarter, as customer activity levels remain extremely soft in the weak commodity price environment. On a year-over-year basis, the Asia-Pacific region declined $3 million. As noted in the press release, we recorded $7 million this quarter for asset impairments related to the ongoing weakness and outlook for drilling activity in this region. The second quarter also included $1 million of charges for employee separation costs and inventory write-downs. Adjusting for these charges and the Asia-Pacific impairment, the segment results improved to $3.6 million operating loss in the second quarter. The sequential improvement reflects the benefit of cost actions in North America and stronger margins in the international business. On the technology front, revenues from our family of Evolution systems continue to have a place in the market, although at levels consistent with the overall revenue decline. Evolution revenues came in at $10 million in the second quarter, including $8 million in North America. Despite the extremely soft market conditions, it’s worth noting that our Evolution technology continues to maintain a meaningful margin premium. Turning to our near-term outlook, we expect to see a further softening in revenues, driven primarily by the completion of the ultra-deepwater project in Uruguay. We anticipate this reduction will be somewhat offset by a modest improvement in North American revenues, which should trend mostly to the overall rig count. The EMEA region is also expected to be modestly softer due in part by the strong product sales in the second quarter that are not anticipated to recur. In terms of operating margin, we believe the third quarter will soften modestly from the normalized Q2 level, and the declines in the international business will be partially offset by improvements in North America. While 2016 continues to be challenging to navigate, the progress towards our long-term fluid strategies providing a clear benefit. In the past two years, we have one meaningful long-term contracts with NOC’s in Algeria and Kuwait, which has expanded our market share and help drive revenue growth in the EMEA region despite the sharp declines in global E&P spending. In addition, we’re continually building our revenue with key IOC’s The project in Uruguay adds to our expanding deepwater resume, and the recent startup with Shell in Albania adds another valuable IOC to our customer base. We look forward to further expanding our IOC’s market share in the Gulf of Mexico, as we’re nearing completion of our facility expansion. This along with our new manufacturing and distribution facility in Congo will provide us premier capabilities in the market. With that, I’ll now turn the call over to our CFO, Gregg Piontek.
Gregg Piontek: Thank you, Bruce, and good morning, everyone. I’ll begin by discussing our Mats business before finishing with our consolidated results. The Mats business reported second quarter revenues of $19 million, up 21% from the first quarter, but down 18% year-over-year. Sequentially, the revenue increase is primarily attributable to a $4 million increase in mat sales. Rental and services revenues came in at $15 million for the second quarter, relatively in line with the first quarter. Revenues from oilfield markets continue to trend with the overall activity levels declining by approximately 20% sequentially. As we’ve discussed previously, given the extreme weakness in the North American E&P markets, our primary focus has been on the penetration of new markets. We continue to make meaningful progress towards this objective during the second quarter with gains in these markets offsetting the oilfield weakness. Overall, non-exploration markets contributed nearly 75% of total segment revenues in the second quarter, including $10 million, or roughly two-thirds of our total rental and service revenues and $4 million of international mat sales. At the same time it’s worth noting that, while the exploration markets remain extremely soft, we continue to maintain our market presence in all regions, which preserves our ability to capitalize in the eventual market recovery. I’d also like to highlight that we continued with selective deployments of the Defender Spill Containment System. During the first-half of the year, we deployed the system at six sites, and customer feedback regarding system performance has been very favorable. Comparing to the second quarter of last year, total segment revenues declined by $4 million, including an $8 million decrease in exploration, rental and services, partially offset by gains in non-oilfield rentals and mat sales. Segment operating margin came in at 21% for the second quarter, compared to 24% last quarter. As highlighted in April, the first quarter operating margin benefited from a gain on sale of used mat. Turning to our near-term outlook, while our visibility is always a bit challenging in this business, particularly for mat sales, the third quarter rental and service activities are currently shaping up to be similar to the second quarter. Regarding mat sales, we continue to see a meaningful level of opportunities. That said, the timing of the project is very difficult to predict. At this point, we expect third quarter mat sales activity to be softer than the second quarter, bringing total third quarter segment revenues back towards the mid-teens range with operating margins also in the teens. Now, moving on to our consolidated results. For the second quarter of 2016, we reported total revenues of $115 million, up slightly sequentially, but down 30% year-over-year. SG&A costs were $21.4 million, down 9% sequentially and a 11% year-over-year. Both the sequential and year-over-year decreases are primarily attributable to cost reduction efforts. Corporate office expenses were $7.2 million in the second quarter, compared to $7.4 million in the first quarter, and $8 million in the prior year. Consolidated operating loss was $15.1 million in the second quarter, compared to $18.8 million in the first quarter and $1.7 million in the second quarter of last year, including the charges outlined in the non-GAAP earnings reconciliation in the yesterday’s press release. Foreign currency exchange netting to a $700,000 gain in the second quarter, up slightly from both the first quarter and the second quarter of last year. Second quarter interest expense netted to $3 million, which included a $1.1 million charge for the write-off of deferred financing costs associated with the termination and replacement of our revolving credit facility. Adjusting for this item, second quarter interest expense was down modestly from the $2.1 million in the first quarter and $2.2 million in the second quarter of last year. The provision for income taxes for the second quarter of 2016 was up $3.5 million benefit, reflecting an effective tax rate of roughly 20%. The second quarter provision was unfavorably impacted by pre-tax losses in Australia, including the $6.9 million of impairment charges for which the recording of a tax benefit is not permitted. Net loss for the second quarter was $13.9 million, or $0.17 per share. As noted in the non-GAAP earnings reconciliation in yesterday’s press release, these adjustments accounted for a $0.11 of the second quarter loss. On an adjusted non-GAAP basis, the second quarter 2016 net loss was $0.06 per share compared to a loss of $0.15 per share in the previous quarter, and $0.02 per share in the second quarter of last year. Now, let me discuss our balance sheet and liquidity. During the second quarter, operating activities provided cash of $23 million. Working capital reductions benefited from the recovery of U.S. taxes and the continuing efforts to right-size inventory. These benefits were somewhat offset by $10 million increase in receivables, largely associated with the Uruguay project. We used $12 million to fund investing activities, substantially all of which was spent on facility and infrastructure projects in the U.S. and Uruguay. As of the end of the quarter, total borrowings were $171 million, including $161 million of convertible bonds that mature in Q4 of next year. No borrowings are currently outstanding under our credit facility. We ended the second quarter with cash of $93 million, resulting in a total debt to capitalization ratio of 25.5% and a net debt to capitalization ratio of 13.4%. For the full-year 2016, we continue to expect capital expenditures to be in the mid to upper $30 million range, with roughly $10 million of CapEx expected in the back-half of the year. The majority of second-half spending requirement is related to the completion of the deepwater shore base project. With our major capital projects now largely behind us, we expect the ongoing maintenance capital requirements to be limited for the foreseeable future, which we expect to benefit our cash flow in the eventual recovery of the industry. Now, I would like to turn the call back over to Paul for his concluding remarks.
Paul Howes: Thanks, Gregg. 2016 remains challenging for our industry. However, we continue to stay the course in our efforts to execute on key elements of our long-term strategy. Our balance sheet remains strong with cash on hand of $93 million, and a net debt position of $78 million, and meaningful opportunities for further working capital improvements ahead of us, including inventory reductions and an additional refund of U.S. taxes next year. And as we mentioned, we also have borrowing capacity under our credit facility, which remains untapped. As much of the discussion remains focused on the industry cycle and near-term outlook, I don’t want to lose sight of our significant accomplishments towards our long-term strategy. In fluids, we’re nearing completion of our Fourchon [ph] shore base, which will provide enhanced capabilities to the industry, enabling us to drive further operational efficiencies for our customers in the deepwater Gulf of Mexico. And standing behind this investment is our recently completed fluids manufacturing and distribution facility in Conroe, Texas, which became operational earlier this year. This facility sets a new standard for the manufacturing of drilling fluid products and additives, deploying state-of-the-art instrumentation and control to enhance the consistency in quality of our products used on land and offshore in the Gulf of Mexico. This facility has the capacity to support significant growth once the industry recovers, producing both our Evolution and Kronos product line. Meanwhile, we continue to make strides on our efforts to penetrate key international and national oil companies. As I mentioned, IOC’s and NOC’s contribute about half of our fluid revenues in the quarter, including the world record-setting ultra-deepwater well in Uruguay. As IOC’s and NOC’s search for companies and products that bring unique value, it’s clear that Newpark is rising to the top of that list for drilling fluids. Even as our large competitors appear to be commoditizing the space, we continue to hear from our customers that they value our innovation and focus on driving improvements in their operating efficiency. In our Mats business, we continue to make progress in our efforts to diversify into new markets. And our DURA-BASE matting system is gaining traction in the power transmission market. As we have discussed previously, it’s critical that we continue to expand our product offering. One such advancement, I’d like to highlight is the equipotential zone grounding system. Our customers that perform maintenance on high-voltage transmission lines frequently need to create equipotential zones to provide fault protection arising from induced currents of nearby active power line. We have developed a new system that provides our customers with the ability to quickly and efficiently assemble in equipotential zone. And I’m pleased to tell you that, since the beginning of the year, we have been awarded two U.S. patterns related to this technology. This is just one example of how we are creating unique value for both our customers and our shareholders. In summary, even in these challenging times, Newpark is not standing still. We continue to balance short-term challenges with the execution of our long-term strategy. We are uniquely positioned with new manufacturing capabilities and new products to capture more than our fair share of the market when the oil and gas industry recovers. We will emerge a stronger and more agile company. And to that point, I’d like to thank all of the employees of the company for their hard work and continuing dedication during these difficult times. And I’d like to focus on one particular achievement by our employees that I’m extremely proud of, our safety record. Our employees’ commitment to safety is reflected in incident rates that were well below industry averages before this downturn began some 18 months ago. And despite being asked to do more with less as the markets contracted, our focus on safety has never wavered. In fact, our safety record has actually continued to improve and is now at a record level for the company. This is an outstanding accomplishment I want to make sure our employees know how much we appreciate their efforts to keep themselves and their coworkers safe. I would also note that our safety statistics are available for review on our website at newpark.com. With that, we’ll now take your questions. Operator?
Operator: We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Marshall Adkins with Raymond James. Please go ahead with your question.
Marshall Adkins: Good morning, guys. Great job, particularly on the international fluids side, so I just want to delve into that. Obviously, the Uruguay thing goes away, but it seems like you got some things going on there that that will maintain some sustainability in that business X the Uruguay thing. Could you touch – first of all, is that right? And second of all, could you give us a little more color on what those things are that should give us confidence at the international fluids side holds up over next year?
Bruce Smith: Yes. Thank you, Marshall. This is Bruce. I’ll take that one. You’re correct in your assumption that the international market will continue to be a strong piece of our business going forward. In general, we’ve entered new countries quite regularly in that region like Kuwait, the Congo, more recently in Oman, although that hasn’t really began to play fully yet. And we expect to see more opportunities going forward to build on that country entry program. So, in our EMEA region, we expect to see fairly strong going forward.
Marshall Adkins: Okay. And I guess, specifically, that’s Kuwait, Algeria, anything else that we should be watching?
Bruce Smith: Congo, we hope Congo will come back a little bit. Initially, the Congo was due to be a slightly larger than this currently, but they pull back due to the current pricing of the commodities. But we expect that will pickup going forward. So, Kuwait, Algeria, Congo, Oman would be…
Paul Howes: And the other one, Bruce, that I would just comment on is, obviously, although we don’t expect the Albania revenues to be significant. That is a major milestone for us with our first contract with Shell Oil that, our hope is that, we will be able to leverage that – continue to leverage that in the international market.
Bruce Smith: Yes, the other thing I would add just to put a little more color on it. If you look at that international market, I think your most stable revenue streams are the NOC. So you hit the key ones, Algeria and Kuwait and then more stable in terms of the overall activity. IOC’s are little less – more dependent on the overall commodity prices. And then the other things to also remind ourselves of this, even those that are continuing to drill with the weakness in the commodity price. There’s that continual theme of pricing pressure and that creates a little bit of uncertainty.
Marshall Adkins: Perfect. That’s helpful. All right, shifting gears over the Mats, what really stood out this quarter seems to be the non-EMP stuff. I think you mentioned 75% all in. Tell us what’s going on there? I mean, is this still utility customers, give us some geographic context to think about what’s going on there? And I guess last one is, how does pricing there compare to the EMP side?
Paul Howes: Yes, Marshall, I’ll take that begin with and Gregg will add a couple of comments. In terms of the segments, it’s the power transmission segment that we’re running our Mats into. We have been able to start some early deployments of our equipotential zone technology for them as well, geographies, mostly in the South Central, upper Midwest in terms of where we’re playing. And then the other one in terms of pricing, generally pricing in the utility sector has been lower than the historical levels that we had in oil and gas.
Gregg Piontek: Yes, the important thing there to remind folks on the pricing side is, while the pricing tends to be lower in these market, you have different lengths on these projects, which help benefit your utilization to get somewhat of an offset. You’re not talking about 45-day projects. You’re talking about many, many months, and therefore, that helps provide some offset. The other things that I would mention in terms of the geography is, as Paul mentioned, we’re seeing this really throughout the Midwest and South Central within the U.S. is where a lot of the work is focused. We also have our presence in the UK, and are building on our – on the acquisition that we did a few years ago there and expanding off of that beachhead into mainland Europe has also been a key piece of this, very much hitting the same types of market. And then lastly, just touching on the sales here that we had in the core, those were into the non-E&P and that was – those were in the international markets and for a large pipeline project was the primary contributor.
Marshall Adkins: All right. Great job, guys. Thank you.
Paul Howes: Thank you, Marshall.
Gregg Piontek: Thank you.
Operator: Our next question comes from the line of Neal Dingmann with SunTrust. Please go ahead with your question.
Neal Dingmann: Good morning, guys.
Paul Howes: Good morning.
Neal Dingmann: Maybe a question Paul for – over for Bruce, just again that kind of based on Marshall’s, again talking about some of those ultra-deep and just both internationally when I look onshore and offshore international. Bruce, just wondering what kind of pricing power you see, certainly, it appears, obviously given the softness in the U.S., you’ve been able to get some great pricing international. So, I guess, my question is, is that pretty broad spread, Bruce, internationally, both offshore and onshore, and then geographically?
Paul Howes: Well, let me just take your first then I’ll past it on to Bruce. Certainly in the international market, there’s less competition, right. And as you’re working offshore, certainly more challenging from a technical perspective. But the one thing to remember to about our international margin is that, those are typically longer-term contracts, where we’ve got an opportunity to really drive operating efficiency and keep our cost at a minimal level, so a little bit different than North American market. Bruce, any other comments you want to add to that?
Bruce Smith: Just one or two probably. The bump that we certainly saw during the Uruguay project is indicative of what we might expect in deepwater work and other parts of the world. The Gulf of Mexico is one that we’re focusing on now, obviously, and it shows really why we’re focusing on that part of the deepwater market.
Neal Dingmann: Great. Great color, guys. And then just lastly, on Evolution, just your thoughts today, I mean, given the continued challenging market in the U.S. Is that again like the normal fluids more of a focus internationally, or maybe just any – Paul, any comments you can say just on Evolution? Again, I still think obviously I have in that water-based. To me, it just got to gain traction just a matter of when, but I’d love to hear you comments?
Paul Howes: Well, Evolution still playing very well, although inline with the reduced revenues in North America for example. But it’s still playing well, and part of that – that’s part of the reason that we’re picking up the market share a little bit in North America is because we have that technology that’s driving operational efficiency. We’ve also focused on our service quality in North America while others are being pulling back somewhat, we’ve continued to focus on that. Our service qualities are improving and we’re reaping the benefits of that. Some of the smaller companies to North America have disappeared just due to the state of the industry here, which helps again. And one large competitor recently into the lines that they’re pulling back from that market. So we see many opportunities to keep that market share drive going with technology and with service. And one of our technology, I might just mentioned briefly is our Kronos line, which is our deepwater offering. And currently our Kronos line is going through some approval processes with key deepwater customers. So, as our facilities now nearing completion and as our Kronos technology is now nearing approvals with key customers. We expect some initial revenues in deepwater to come in the fourth quarter of this year.
Neal Dingmann: It’s been interesting to watch that play out. Thanks Bruce. Thanks guys.
Bruce Smith: Yes.
Operator: Next question is coming from the line of Joe Gibney with Capital One. Please proceed with your question.
Joseph Gibney: Thanks, good morning, guys Gregg, just a quick question on the elevated product sales on the EMEA. Just trying to understand how much that was in a quarter and the expectation on drop-off there just to calibrate into the 3Q would be helpful?
Gregg Piontek: Yes, I mean overall the product sales there was probably a couple million contributor to the EMEA region. So not a huge piece of it in overall, but the nature of those sales that also kind of help to provide a margin boost as well, so it helps the profitability, and that’s somewhere we see a little bit of a drop-off there as well.
Joseph Gibney: Okay. And if we were sort of able to isolate 2Q X Uruguay, in terms of baseline operating margin kind of where we’re I guess on an exit rate there just trying again think about the slight step down that you guys are indicating for 3Q?
Gregg Piontek: Yes I guess the way I would characterize that is, while we definitely don’t want to get into the specifics of region by region profitability. We don’t disclose that. I bring it back to kind of our general discussion that we’ve always about the incremental margins. I would say that the Uruguay project is not out of the fairway in terms of what we had typically seen terms of incremental margins associated with revenue.
Joseph Gibney: Okay, that’s fine. The last one is for Paul or Bruce, just on Fourchon, now that you’re nearing completion, could you maybe remind us of how thoughts and cadence of that facility as it ramps up as we try to think about you guys are entering that market a little bit more meaningfully and getting some share?
Paul Howes: Yes, I mean what we’re trying to do to take a staged approach, right. So part of the facility, we’ve been going through kind of an operational startup and will actually be shipping some small quantities out. So we’ll ramping it up over the next three or four months, but the fully operational in the fourth quarter.
Joseph Gibney: Okay, I appreciate it, guys. Thank you.
Paul Howes: Thank you.
Operator: Thank you. Our next question comes from the line of Bill DelHagen with Titan Capital. Please go ahead with your questions.
William DelHagen: Thank you. I would actually like to follow-up on the Kronos commentary, and just what are you hearing from customers about the deepwater opportunities that they would like to bring you into. So we’re trying to scale the magnitude of the initial interest please?
Bruce Smith: Yes, well certainly it has entering the market that the bar for us is to quite low at the moment, because we’re just entering. So we’re attacking really all the customers that are exist in the market currently. Kronos, we’ve taken a completely different approach to developing that to solve the issues that deepwater operators are concerned about. We’re being presenting all those things over the past few months and longer-term actually in some of the elements. We’re getting very good feedback from the customers that currently are operating in deepwater that they feel another player would – could add some value. And that’s I think where we in Kronos will tend to come into that market.
Paul Howes: At a little bit different level, what we’re hearing from a lot of the large customers that play in deepwater is that, they believe drilling fluids is a value-added product that can help drive operating efficiency. And what I said in my prepared comments is that, it appears that a lot of large integrated service companies are trying to commoditize that space, and that’s really not what the large IOC’s are looking for. They’re looking for value differentiation and things that help down drive operating efficiency. We believe Kronos will do that.
William DelHagen: Thank you. And so the Uruguay, well, was that using Kronos?
Bruce Smith: It used some Kronos components, but it did not use the full Kronos system.
William DelHagen: Okay, great. Thank you. And then I actually do have a couple other questions, Bruce. First of all, mat competitors, are you seeing them either go away or exit some of the markets that that you all are continuing to maintain a presence in? And then at this point in the cycle, certainly back to Evolution, is there a change in the operators’ interest and then given that we seem to be at somewhat trough levels of activity?
Paul Howes: All right. Well, Bill, let me take a shot at that first, and then I’ll ask Gregg to comment after me. On the mat, in terms of competition, we break that up into – if you look at the oil and gas segment, yes, certainly, there is some competition, they’ve been falling to the way side is that difficult market to navigate. However, as we move into the power transmission market, there are new competitors, different competitors. They are – they compete with wood mats very similar to what we competed to and – competed against in the oil and gas industry. So in the oil and gas sector, certainly seeing competitors disappearing, but we’re going after new competitors in the power transmission and pipeline segment. And then on the Evolution question, could you come back to us on that question again, Bill?
William DelHagen: Yes, just given at this point in the cycle, are you seeing a change in operators’ interest in Evolution? And the essence of the question is coming from early in the downturn, operators were only interested in cost just in a broad sense. And so kind of pushed Evolution a little bit to the side as they did with other higher value technologies. Now that we’re in the trough, are you seeing any change in the mindset towards Evolution?
Bruce Smith: The answer is, yes. I think, we’re seeing that customers are recognizing that the pricing element is now finished. They still have a need for operational efficiency. So the technology begins to play again, and we’re seeing signs of that coming back now.
William DelHagen: Great. Thanks to all of you.
Bruce Smith: Thank you.
Paul Howes: Thank you.
Operator: Okay. That concludes our question-and-answer session. I’d like to turn the floor back over to management.
Paul Howes: We’d like to thank you once again for joining us on the call and for your interest in Newpark Resources. We look forward to talking to you again next quarter. Goodbye, everyone.
Operator: Ladies and gentlemen, thanks for your participation. This does conclude today’s teleconference. You may disconnect your lines and have a wonderful day.